Operator: Good day and welcome to the Nomad Foods Second Quarter 2022 Earnings Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Anthony Bucalo, Head of Investor Relations. Please go ahead.
Anthony Bucalo: Hello and welcome to the Nomad Foods Second Quarter 2022 Earnings Call. I am Anthony Bucalo, Head of Investor Relations and I am joined on the call by Stefan Descheemaeker, our CEO; and Samy Zekhout, our Chief Financial Officer. Before we begin, I would like to draw your attention to the disclaimer on Slide 2 of our presentation. This conference call may include forward-looking statements that are based on our view of the company's prospects, expectations and attentions at this time. Actual results may differ due to risks and uncertainties which are discussed in our press release, our filings with the SEC and this slide in our investor presentation which includes cautionary language. We will also discuss non-IFRS financial measures during the call today. These non-IFRS financial measures should not be considered a replacement for and should be read together with our IFRS results. You just can find the IFRS to non-IFRS reconciliations within our earnings release and in the appendices at the end of the slide presentation available on our website. Please note that certain financial information within this presentation represent adjusted figures for 2021 and 2022. All adjusted figures have been adjusted for exceptional items, acquisition related, share based payment and related expenses as well. As non-cash FX gains or losses. Unless otherwise noted, all comments from here on will refer to those adjusted numbers. With that, I will hand you over to Stefan.
Stefan Descheemaeker: Thank you, Tony. Good afternoon everyone and thank you for joining us on the call today. We're pleased to review our results for the quarter. We performed well in Q2, despite difficult macro conditions across Europe. We began the year already addressing on inflationary requirements. And we adopted quickly to meet additional challenges brought down by Ukraine war both inflationary and otherwise. We are encouraged by the resilience of a bunch of people of consumers and our customers. Our revenues grew 17%, while organic sales trends improve sequentially from Q1. Our value share we're stable, while we pass price increase to mitigate cost inflation. Our supply chain provided excellent service to our customers with fill rates improving materially in the half year. Year-to-date, service levels have improved 160 basis points. We will continue making crucial supply chain approvals. While integrating and introducing new products to further drive organic growth in our newly acquired athletic business. We are now through the most challenging period of the year on input cost. And we have covered nearly all of our raw material costs for 2022. Additionally, we have worked effectively with our retail partners to set our pricing at levels that address input cost increases and achieve gross margins which will allow us to appropriately support our brands. As a result, we expect our business performance to improve materially as the year goes on. As all of you know, Nomad has been navigating an extraordinary environment that includes high consumer uncertainty, inflation, as well as the outbreak of the war in Ukraine. The normal cadence of our business would be to have prior discussions annually with our retail partners executing the increases in Q1. But given this rapid change in input costs, our pricing actions have become far more dynamic given the realities of that dramatic cost inflation. As we pass price increases this year. We expect pricing to fully offset volume declines, leading to low single digit organic sales growth for the year which we see as a relatively good outcome and a testament to the strength of our brands. We believe further price increases will be necessary to recoup cost inflation and maintain our margins. This should allow us to exit the year with the gross margins and cash flow appropriate to maintain the proper investment in our business. With that, I'd like to recap our second quarter key financial metrics, beginning with reported revenues of €697 million which increased by 17%, driven primarily by the first inclusion of our newly acquired Adriatic business. Organic revenue declined by 3.2%. A sequential improvement from Q1 but still reflecting the lingering impact of COVID lockdown comparisons and category weakness across Europe. We delivered an adjusted gross margin of 28.2%, 260 basis points lower year-on-year, reflecting soft organic sales and the higher raw material costs. Adjusted EBITDA of €127 million represents a 3% increase compared to last year as higher input costs offset other positive factors. And finally, adjusted EPS was €0.40 per share flat year-on-year. Turning to Slide 4, our 17% revenue growth benefited from strong ice cream sales in the Adriatic region. While we realized 2.5% net pricing for the company in the quarter. In July, we saw a recovery in organic sales trends as a pricing was delivered to the market. And we lacked more normalized results. Q2 represented the most unfavorable mismatch of pricing costs for this year and this way to the low margins. But we are now joining this favorably. As we discussed in Q1. There is always a time lag between COGS increases which are linear and our price increases to the retailer which are staggered. We are not better matching or pricing to total inflation. And we are maintaining a dialogue with retailers about further price initiatives which will recover our gross margin towards long-term average levels. Additionally, we have good visibility on cost as we are more than 85% coverage for the rest of the year, up from 85% in Q1. On energy, we are covered for this year and well covered for 2023. In H1, we landed up pricing in the market. In the dynamic pricing environment or overall value share was stable, while we gained 60 basis points in our Must Win Battles. Our Must Win Battles are in the categories in markets where we define our success and we are pleased with this performance. When looking at the challenging consumer environment, high inflation as well as the consequence of the Ukraine war across Europe. We are taking a more conservative posture. As a result, we are amending our adjusted EPS guidance range for 2022 to €165 to €171 from a previous €171 to €175. This represents high single digit growth. Longer term, our business strategy is on track and we are confident we are still on plan to deliver our 2025 adjusted EPS guidance of €2.30. Turning to Slide 5, Nomad is a company that is always learning and evolving to new challenges. We've done this as an organization many times. As we discussed at the top of our remarks, the war in Ukraine exacerbated the already rising inflation in Europe and disrupted global supply chains, especially in agriculture and energy. We're adapting quickly and in Q2 we accelerate our fish diversification strategy. Grow Green Cuisine and move quickly to fully integrate our rapidly growing Adriatic unit. First, we are aggressively de-risking of fish supply. We have plans to address this issue before the wall. But we have picked up the space in Q2 as the volatile global macro environment is threatening fish supplies. We are securing new sources of farmed fish as well as adding geographic sources and species to augment our current supply. We remain committed to sustainability and we are staying within MSC and ASC guardrails in these plans. Second Green Cuisine has a strong half year with mid-single digit organic growth despite negative weather events in the category. Green Cuisine has grown market share nearly 300 basis points in the training 52 weeks. In Q2, Green Cuisine more than multiple trade awards in the U.K. and one in Italy. We recently launched an advertising campaign in U.K. which is being well received by consumers and retailers. Finally, Q2 sales growth in our newly acquired Adriatic business was well ahead of plan with strong volumes in Croatia and Bosnia and Herzegovina. In May, ice cream sales had a good early start to the season and benefited from historically high temperatures. Food Service was strong as COVID restrictions were lifted and traffic returned to restaurants, bars and hotels on the coast. Our integration is ahead of schedule. And we are excited about the future of this new acquisition. And with that, I will turn the remarks over to Samy. Samy?
Samy Zekhout: Thank you, Stefan. And thank you all for your participation on the call today. Turning to Slide 6, we provide more detail on a key second quarter operating highlights. We reported revenues of €697 million in the second quarter, a growth of 17% year-on-year, driven primarily by the acquisition of our Adriatic business. As a reminder, that transaction was finalized in September 2021 and will become fully integrated into our organic numbers in Q4. Second quarter revenues also had a small benefit from favorable effects. These revenue components were offset by a 3.2% decline in organic revenues due mostly due to lockdown comparison and a generally weak performance across the category. Gross margins were 28.2% during the second quarter, reflecting a 260 basis point decline versus last year. The inclusion of the Adriatic whose gross margin are seasonally higher this time of the year helped offset gross margin pressure. Moving to the rest of the P&L. Second quarter COGS increased 21.4%, an increase of €88 million versus last year. Our adjusted gross profit grew 7.2% to €197 million. Adjusted operating expense of €92 million was up 19% year-over-year. This rising operating expense was due exclusively to the inclusion of the Adriatic division in our numbers. As a percentage of sales, operating expense was 13.2% this quarter versus 12.9% last year, an increase of 30 basis points. Our EBIT, done EPS performances were impacted negatively by the rapid rising input costs. Second quarter adjusted EBITDA of €127 million was up 3% versus last year and our adjusted EPS of €0.40 was flat. Turning to cash flow on Slide 7, we generated €36 million of adjusted free cash flow into half year equating to 25% adjusted free cash flow conversion. This is below last year, due mostly due to a buildup of raw material inventories as well as the inclusion of a seasonal working capital outflow of the Adriatic which was not in the base for [indiscernible]. Change in working capital was €125 million use of cash. Up slightly from last year, as we build raw material inventories in anticipation of possible shortages. We believe this was prudent considering the disruption risk in the raw material markets. The inclusion of the Adriatic also impacted this result. CapEx of €34 million was flat versus year ago. As we mentioned in Q1, we do expect higher CapEx for the year as we support strategic investment decisions. And incorporate the Adriatic into our broader selling plant. Change in cash tax decreased by €6 million to €25 million, while cash interest was stable at €38 million. We expect to deliver improving free cash flows through this year. But we delivery weighted heavily towards Q4. However, the combination of setup CapEx, higher raw material inventories and the first year implementation of the EU's unfair trading proactive directive to leave us short of our typical 90% to 100% long-term conversion targets. With that, let's turn to our final slide. Slide 8 to review our 2022 guidance which we are adjusting from CAGNY and our Q1 earnings report in May. Our guidance on sales and EPS is based on our best projections of cost inflation and other factors in the second half of 2022. As Stefan mentioned in his remarks, we plan to recover cost inflation through pricing in the back half of the year and thus we expect an improving gross margin profile over the course of 2022. To be clear, we expect sequentially better financial performance in the back half of the year based on improving margins as our pricing takes hold. We expect organic revenue growth in the low single-digit range for 2022. This will be driven by sales and price increases in half 2. Low single-digit growth is consistent with what we guided in May. We expect a significant spread between price and volume, we expect price to fully offset volume declines. We expect the Adriatic division contribution to drive reported revenues guidance of high single digit for the full year. For capital allocation, it is our top priority this year to use our cash to support operations. We still see share buyback as central to driving shareholder value. However, in Q2, we did not repurchase shares after moderate repurchases in Q1. Our $500 million of share buyback program remains in place until August 2024. For the balance of 2022, we are taking a cautious sense in consideration of a volatile consumer outlook and other factors such as the impact of the Ukraine war across Europe. As a result, we are amending our adjusted EPS guidance to a range of €1.65 to €1.71 per share from the previous €1.71 to €1.75. We believe that we remain on track to reach our 2025 adjusted EPS target of €2.30. That concludes our remarks. I will now turn the session over to Q&A. Thank you. Operator, back to you.
Operator: [Operator Instructions] And our first question today Will come from Andrew Lazar with Barclays.
Andrew Lazar: Great. So Nomad is running organic sales down about 4% in the first half. And this implies, obviously, more than 4% growth in the back half. I appreciate more pricing is to come. And as you said, comps are easier. But I guess, mid-single-digit organic seems maybe somewhat of a tough task in light of the macro environment in Europe. So maybe can you discuss a little bit of the bridge on how you get there? Is it mostly pricing kicking in with an expectation that volume elasticity does not worsen from here? And then pricing, as you mentioned, didn’t accelerate much in 2Q but it sounds like more is going to become visible in the P&L. What’s your expectation for the benefit of pricing for the full year?
Stefan Descheemaeker: Good morning, Andrew. Thanks for the question. Let me handle the question and let me dissect a bit the numbers to your point. I think H1 was really representative of the end of the COVID comparison. And in terms of price, however, we successfully negotiated our price increases, it really comes at the end of the quarter. When I see, for example, July, July, excluding the Adriatics in terms of sales is around plus 7% which is really representative -- COVID is behind us. And indeed, the price increase that we have negotiated during the first half are really starting to kick in. So when then I'm moving forward to the full year, what we see is we're expecting pricing in the region of mid-teens. Elasticity is in line in terms of market share. And obviously, we need to decline but the volumes will decline as a result. And obviously, we will -- with that, we think we're going to -- you know we're going to be there. So that's a combination. It's really above end of COVID market share and more importantly, it's pricing. Samy, any other add-on?
Samy Zekhout: I think it's effectively there will be an acceleration in Q2 and Q4 as for sure.
Andrew Lazar: Yes. Great. And just to make sure I heard it right. You said July sort of on an organic basis, was up 7%, I think. And then on a full year basis, I think on a full year basis, you said you’d expect mid-teens pricing. Did I hear that right?
Stefan Descheemaeker: Correct.
Operator: Our next question will come from Jason English with Goldman Sachs.
Jason English: Two quick questions. First, a follow-up on the pricing. It sounds like you have most of it already negotiated and locked in but I think I did hear you say in prepared remarks that you believe you’re going to need further price increases to cover the cost pressure. So can you clarify?
Samy Zekhout: Hi, Jason. Yes, absolutely. We have gone through, let's say, the first 2 waves that we had discussed I mean, previously and successfully. And as we alluded to earlier, what we had said is effectively that we would consider a third wave towards the end of the year, pricing which is primarily an advancement of the Q1 pricing into this year -- Q1 of next year. And that's clean now in the plan for sure. Yes.
Jason English: That makes a lot of sense. I appreciate the clarification. And the acquisition, the Adriatic region, the M&A contribution continues to exceed our own expectation every quarter. It looks like the business is doing quite well. If they were including your base, what would your organic sales growth look like through the first half of the year?
Samy Zekhout: Well, we've -- it's a very good question. And indeed, it's working extremely well, to your point, ahead of expectations and market share wise as well. By the way, they also have increased their pricing. So all is green in the Adriatics. So we -- when you compare, let's say, the minus 3.2% that we are -- we have, excluding the Adriatics for the existing business in terms of sales, we would do a pro forma of Q2 for the Adriatics -- and we would include it obviously in the full -- in the business, we would be just short of plus 1% for the full business. So that's what it is, it's a size of a difference.
Jason English: Yes, for sure. And do you think, that’s durable? Or is this just unique because the warm weather boosting ice cream? Or is this really kind of reflective of what this business can contribute to you?
Stefan Descheemaeker: Well, obviously, weather is being a role. Don't get me wrong. Don't know Jason, what's going to happen next year in terms of heat. Nobody knows this. The only thing we know is also we're gaining market share. And we also know that, well, we could sell even more. So it is also a learning for us in quarter 4. Okay, can we also even produce ahead of time. So we're learning all these things. So difficult to know. Let's not forget that the heatwave is playing a role, a negative role for the rest of the business, much less pronounced to be fair but it's a bigger business. So yes, all in, we're very, very pleased with what we see with the business. We're learning ice cream and we love ice cream, Jason.
Samy Zekhout: Maybe just what I would just add, I mean, to Stefan’s point is the fact that effectively, this year, we have seen as well an acceleration of the business driven by the fact that the tourism has caught up as well which effectively has pushed the impulse category probably even further. So there is a bit of advancement of effectively what we had anticipated in the half year into this year. But let’s say, from a health standpoint, this is a very healthy business with good growth potential definitely.
Operator: Our next question will come from Rob Moskow with Credit Suisse.
Rob Moskow: Your guidance assumes mid-teens pricing for the year which means a rapid ramp in the back half. But I think it also means a 15% decline in volume for the year with an equally rapid decline by the end of the year. And you said that you’ve loaded up on a lot of raw materials to prepare for shortages. So what’s the impact of a decline in volume like this on your operating leverage and also on your balance sheet?
Stefan Descheemaeker: Yes. I think Rob, I think the net of all of that is still -- is effectively going to give a low single-digit growth for sure. There is pricing, there is mix and there is volume as well. So when you combine the totality of that, we are not getting to a mid-teen volume decline. We are getting to probably a high single-digit volume decline. And those costs are being factored into our operating, let's say, cost overall. We've been planning for that as we effectively entered into this year with the significant pricing from that standpoint. And that's reflected in our gross margin projection.
Rob Moskow: So that implies a pretty significant mix benefit. What’s driving the mix benefit?
Stefan Descheemaeker: Well, we clearly are having most of the categories that have higher margin in the countries that have higher margin that are clearly executing pricing and driving those categories with higher margin that are pushing, that are growing faster than the rest. And the fact that, for instance, we are starting with the U.K., very much all of the pricing wave is a significant contributor as well to this acceleration which explains effective the fact that there is a mix factor on the category side and on the country side as well.
Operator: And our next question will come from Steve Powers with Deutsche Bank.
Steve Powers: Yes. Can you hear me okay?
Stefan Descheemaeker: Yes, yes.
Steve Powers: Okay, great. Great. Just on that last, just to clarify, [indiscernible] is mix expected to be positive on the year? Or is it expected to be negative on the year, specially that you have mid-teens pricing, negative high single-digit volume and sort of a bit of negative mix to get you back to low single digits for the year. I'm a little confused if it's positive or negative mix you're expecting on the year.
Samy Zekhout: No, actually, it's the pricing range on average is about, let's say, the mid-teens that we have just talked, the volume is going to be in the range of about, as I said, high single digit, I would say, on that one. And there is a secure balance of things that's beyond from a mix standpoint and there is as well, let's say, an increased support, I mean, driven by the promotion that we need to put in place in order to drive the business over which effectively equates to the low single-digit growth for the base business.
Steve Powers: Understood, pretty much [ph]. Okay. I also -- is there an ability for you given your visibility in some of your hedge positions into ‘23, is it too early to talk about an early expectation of inflation for ‘23 at this point? Any color you can offer us as to what ‘23 looks like from a cost inflation standpoint?
Stefan Descheemaeker: I think it's too early. I would say at this stage that there's a lot of moving parts. As you have seen, some of the commodities are going down and now for some of the items, even though effectively, those represent a tiny portion of our portfolio, there is effective a downward trend on those. On the other, effective -- there is a stabilization at the peak point and we are effectively as well continuing, extending some of the hedging activities we had in areas like energy in order to cover for the next year. So I think expect more as we provide guidance for 2023.
Steve Powers: Understood. Okay. And then I also, if I could, I want to ask about operating expenses. They came in higher than I think we in consensus was expecting this year. I understand a lot of that is probably Fortenova and not rolling through ahead of schedule. From your perspective, were the operating expenses in line with your expectations, to the extent they came in ahead, is it really only Fortenova? Or is there -- are there other inflationary aspects impacting that line of the P&L as well that we should be thinking about?
Samy Zekhout: No. That is clearly -- I think this is the area, as we have talked in the past, I mean, on COGS and on operating expense where we clearly have a pretty good visibility on. And there is except Fortenova, there hasn't been any kind of noticeable item that would effectively be of importance for you guys.
Operator: And our next question will come from John Baumgartner with Mizuho.
John Baumgartner: Thanks for the question. Samy or Stefan, I’d like to ask about the positioning for your frozen categories here at retail. From a pricing perspective, the price gaps relative to shelf-stable and fresh, they seem to have widened even compared to the credit crisis 15 years ago. And I’m curious, A, how do you think about consumers trading down to frozen in this environment where the price gap would seem to be pretty favorable for relative value. And then, B, what are you seeing from retailers? I mean do you expect them to manage the frozen category differently over the next 6 to 9 months? Are they increasing visibility for your categories? Are they supporting non-price promotion for these categories? Just how do you think about frozen versus fresh and then [indiscernible] this environment?
Stefan Descheemaeker: Well, overall, to your point, John, I think this is a category that is doing well in recession time. And at this stage, we're seeing the same. In terms of fresh versus the others, I think it's still very difficult to read, Jon, because at the same time, we see that some people are increasing price later. So let's see a bit where things are standing. But what we see at this stage, we haven't seen any significant difference with the other categories. But I think the big piece to remember is, A, we're getting out of COVID and additional new consumers are coming; B, you can see some people coming from, let's say, out-of-home restaurant, restaurants and moving down back to the retailers. And obviously, again, this category is doing well. I think what we need -- what we will also do together with the retailers is to explain how great this category is, not only in terms of affordability but also in terms of waste, for example. And this is great in terms of cost of living. This is a category that where you can keep it. It doesn't lose anything. And so these are the kind of things we're going to do much further in the future. But are we confident with the long-term future of this category especially in recession time? Absolutely.
John Baumgartner: Okay. And then Samy, a question for you on the guide for 2022. You’ve lowered EPS but maintained net sales in that high single-digit range. Can you discuss maybe where in the P&L you’re taking a more conservative stance tied back to the macro comments? Is it more gross margin? Is it more OpEx, you may have to reinvest back more? Just any clarity on the incremental change to the outlook.
Samy Zekhout: Yes, it's not on the OpEx. I mean, to be very clear. And on the COGS, we have increased visibility overall. The reality is that we are really simply reflecting a cautious view on the fact that the economic environment is becoming quite uncertain there. So there is pressure on effectively the top line that would require probably further strengthening of the business in order to make sure that the pricing is going through over the full year.
Operator: And our next question will come from Cody Ross with UBS.
Cody Ross: I just want to follow-up on last question there. It sounds like you’re taking a more cautious stance on top line view but you didn’t [indiscernible] organic sales outlook. Can you just comment further there, what’s driving?
Stefan Descheemaeker: Well, the margin, as you see, the margin change that you see from one guidance to the other is effectively within the range of what is low. Let's say, when we talk about high single-digit revenue growth which remains the case, I mean, at this stage, is effectively continuing to be the case. The only element there, as I said, is to a marginal impact overall. What we see is effectively, we see the -- some constraints, some elements that potentially could affect our top line progress overall for the year but that would still leave us in the range of high single-digit growth. That's not going to change from that perspective. But effectively, there will be some movement there. This is what effectively is creating the level of uncertainty that is impacting our EPS guidance. Simply put, it takes probably more effort to execute 3 price increases that's what we had anticipated.
Cody Ross: Got you. So it sounds like in the range just at the lower end of the range now. Understood. And –
Stefan Descheemaeker: We are determined to have the price right. But let's say, to get there, it might be a bit more difficult. But definitely, for us, it's a priority number one. And Cody, the one thing I would add on this one is we clearly have a plan to get at the higher end of the rent simply, there are uncertainty which we felt important to reflect. But clearly, the €171 million, if we're leaving it within the guidance range is clearly within reach as well. So this is the range we are talking about.
Cody Ross: Understood. That’s helpful. And then just last question from me. You didn’t repurchase any shares in the quarter which is in line with your prior guidance as you work to secure inventory. Can you talk about your potential to increase share repurchases going forward, especially given where the stock is trading at?
Stefan Descheemaeker: At the very stage, you're right. I mean all the points you just made are absolutely correct. What we clearly state is we will continue to support the operations which is clearly the number one objective there. We in an environment of supply constraints, I mean, this is really critical for us to make sure that we have the product we need at the right price in order for us to clearly serve our consumers. From a share repurchase standpoint, this is effectively something that we have in rates, as you know, in terms of returning, let’s say, the appropriate return to our shareholders. And it’s taken into consideration within the grand scheme of other options that we have. So at this stage, clearly, this is one possibility but for the time being, the forecast remains supporting the operations.
Operator: And our next question will come from Jon Tanwanteng with CJS Securities.
Unidentified Analyst: This is Dan Moore [ph] for Jon. A lot of the questions have been covered. Maybe just any updates on the strategic alternatives process, one; and two, any detail additional detail you can share in terms of securing alternative supply for fish, you mentioned that in your prepared remarks. Any specificity there would be great.
Samy Zekhout: So let me cover, I think you're talking about fish most of the -- that's a key question. I understand. So from that standpoint, it's -- we've taken a lot of steps. We've made a lot of improvement where the risk has definitely gone down since last time. So we've increased purchase from outside of Russia. We've gone to other species. And also very importantly, we also have come to we're starting to reduce our reliance by going with farm fish, obviously offers a high quality but we're starting with this piece and we've made a lot of progress. We've made all the testing sessions. The consumers are very pleased with the outcome and we're going to start very soon the industrial production. So these are exactly the kind of things we said we would do and we're doing it. And on top of that, the last pieces we also said that the fishes part which is part of Green Cuisine is really on fire. So this combination makes it that definitely we are reducing our reliance on that part of the fish.
Stefan Descheemaeker: And on your first question which was the [indiscernible] I think there’s no more additional comments, I mean to provide on the one that you're aware of, I mean, at this stage.
Operator: And our next question will come from JM Shekian with Citi.
JM Shekian: I also wanted to ask on the frozen category, what impact you’re seeing, if any, from private label just amidst the price hikes? And as you move forward, do you expect to see additional pressure from the private labels?
Stefan Descheemaeker: So overall, as you have seen, we have maintained our market share. So that's -- given the environment is not something easy but we've been able to do this really, really, really well. And in terms of Must Win Battles, you probably know what our Must Win Battles are. That's really the categories where we want to win and also in the countries where we want to win. So in this, we've increased market share in the course of the last quarter and especially in H1. Now obviously, with what we have is that we want to go obviously and increase the market share in the future. I think we have the right brands, we have the right programs and we're doing well vis-a-vis private label. Let's never forget that all these guys are going through the same kind of purchase and cost of goods increase like us. The only difference is which is obviously we are -- we're moving ahead. We are the price leaders and we are most of the time we are ahead of the curve in terms of pricing. And the only thing we don't know by definition if and when these guys are going to increase price but they will obviously, they should at some stage. But again, I'm not in their shoe. So overall, the brand equity is stronger than ever and we're very pleased with what we're doing. And -- but the priority number one, as we said, is to make sure that we're going to have the right gross margin and we're going to be in a position to start 2023 exactly at the level we wanted to be able to reinforce our brands.
JM Shekian: Great. Appreciate the color. I’ll pass on.
Operator: And our next question will come from [indiscernible].
Unidentified Analyst: Great. Just a couple of questions on cash flow, if you don't mind. Can you just sort of break down the cash flows relating to exceptional items of about €29 million year-to-date? I know historically, you've been running over $15 million for the last or effectively in the last 4 quarters. Can you just give us an idea when you'll get them sort of below 15% or maybe some sort of color for the full year would be great? And also working capital, there's quite a large outflow year-to-date and I know that's inventories and receivables. Any sort of guidance on where you see working capital for the year-end and ultimately what the drivers are for that large outflow. And then maybe just one final question then. Just in terms of the fish sourced from Russia. Can you actually quantify what percentage is sourced from Russia either maybe at the end of FY '21 and where you are today?
Stefan Descheemaeker: Yes. I would suggest that, let's say, on the off-line item, we took this one. I mean, off-line, I think in the follow-up session. I think it makes more sense, I mean, to some of these. On the working capital, clearly, there has been effectively a significant rise in the working capital driven by the investments we have made in inventory. I mean, particularly in raw material and packing material in order to secure the supply. There has been effectively as well the inclusion of Fortenova I mean in there that is driving, let's say, a part of the substantial I mean, rise in working capital. And that we expect over time in the year, we're taking a very aggressive look at our cash flow in order to make sure that we deliver a cash performance that is consistent with the plan that we had in place by revisiting our CapEx, our inventory approach to make sure that, frankly, we clearly have what we need in order to safeguard the year, enter the year with the right level of inventory. And -- but on the other side, effectively go on the journey of, let's say, taking it down as we move forward on that. So we clearly expect substantial improvement in the fourth quarter, in particular and returning -- taking into account all the investments we have to make, I mean, in Q3 in working capital. So as far as the Russian fish is concerned, you understand that for commercial reasons, we are -- it is significant but for commercial reasons, we are not disclosing the percentage of the amount. But as I said, for all the reasons I mentioned, like going to other species which are not Russian, what's more southern hemisphere which is more going to Pangasius which is also about plant protein, we see that it's starting to go down and it will go down and down over the next quarters and years. Still, I think we believe that in the future, we will still work with our Russian suppliers but we have now and we will be in a position to move to switch then faster and easier from one category to another.
Unidentified Analyst: Okay, that’s great. Can you just put in context the level of cost inflation you’re seeing for fish because obviously, you’re changing suppliers and there’s obviously general cost inflation anyway? So just what level of inflation you’re seeing?
Samy Zekhout: We see broad base inflation in virtually all of our ingredients, I would say, on that one and it's seeing the double-digit range as we have talked, I would say, overall, depending on the species, depending on the category, that's effective broad-based inflation that we see overall.
Operator: [Operator Instructions] Our next question will come from Adi Oriya with HPS [ph].
Unidentified Analyst: Can you hear me okay?
Stefan Descheemaeker: Yes.
Samy Zekhout: Yes.
Unidentified Analyst: Awesome. Just finally round off on the fish point and I know a couple of people ask that. I appreciate you might not be able to disclose the exact percentage and I appreciate, obviously, the fish side is doing well and you’re moving to other species. Just, I mean, it clearly represents a material part of the fish sourcing. I’m just curious, was there a sanctions impact on the Russia side? And then maybe could you speak to fish sourcing in China? Has that been okay? And maybe directionally, would maybe if you say in the next year or so, do you see kind of -- what kind of -- it says U.S., Russia and China, what will be the majority kind of region providing your fish? And maybe you could talk directionally towards those regions and what you’ve seen?
Stefan Descheemaeker: Okay. Let me start with the first part of the question which is the sanctions. So from the European standpoint, EU, no sanctions vis-a-vis whitefish which makes, by the way, a lot of sense because they've checked also what the impact would be for the consumers, they've come to the conclusion that for the consumers, it would be much more negative than for anybody else. So that's one piece. As you may know, some tariffs, 35% have been levied in the U.K. But we've taken some strategic decisions. And for us, this is just negligible. So it doesn't impact really our fish in the U.K. Let's not forget, we have several factories and obviously, several ways to source the fish. So that's one thing. As I said, looking forward, we believe that we're going to reduce our reliance on the Russian fish. The Chinese processing, well, it's been a bit during -- end of Q1, early Q2. You may remember with the Shanghai lockdown; it was a bit chaotic. But we know it's back on track. And I would say, if I again, I could see, looking forward, it's going to be really a combination of whitefish between the U.S., Russia or Chinese Russia but also, let's say, the farm fish, mostly coming from Vietnam at the right level will be very important for us. And we are in the process to secure a long-term supply at the right level, with the right quality. Very much in the way what this company did something like 20 years ago with MSC Marine Stewardship Council. We're doing the same with the ASC which is equivalent for farm fish and we're going to set the standards and the standards will be high because that's exactly what we are which is obviously a good value and a great value and great quality.
Unidentified Analyst: Okay. Moving just to the cost base. What percentage of sales does energy represent? And again, helpful like you said double-digit increase on fish prices have been interesting to know kind of what kind of range of increase have you seen on your energy costs. Obviously, it's material given your cold chain requirements.
Stefan Descheemaeker: Yes. We don't disclose the -- let's say, the share of energy in the total cost. What we can tell you is that it is of importance, I mean, of course but because of all of the effectively, I mean, the cooking and the whole thing that is associated with that. What we've done on energy is we have taken a hedging approach, I mean, to that -- so that we started since the beginning of the year that has enabled us to level off the cost this year and be well ahead if you answer throughout, let's say, the middle, 3/4 of the next year. So we've been managing it quite, let's say, well overall in order to mitigate the impact of this in next year.
Unidentified Analyst: Okay. And have you considered kind of the availability of energy? Obviously, for example, in Germany and France and some European countries, if you want, for example, if you weren't able to get gas, would that have any material impact?
Stefan Descheemaeker: It's a very good question. As you can imagine, to your point, there is price and there is also availability. So we see -- and that's one of the reasons, by the way, over the last 2 months, consumer outlook has also obviously significantly worse but that's something else. In terms of availability, what we're checking is obviously the ability for us to move from gas to other energy and we're working very hard on this piece but we've made a lot of progress in terms of ability to switch from one to another.
Unidentified Analyst: Okay, that's really helpful. And then finally from me, I just read in the materials that Fortenova revenue of about €28 million in 2019 and then €261 million [ph] in 2020 and the EBITDA declined in that same period from €59 million to €50 million [ph]. Could you please give some color on that? Why did it decline? And obviously, you mentioned it's growing very well organically in the most recent period. So why did that happen between '19 and '20?
Stefan Descheemaeker: Yes. There was a clear impact, I mean, driven by COVID, I mean over there. I mean, because this is an area where tourism is of importance. And as you know, I mean, it's directly proportionate. I mean, to tourism. As we see clearly COVID now, let's say, in the back, I mean in the base period. And we see tourism going back and combined with a very hot summer, we see a effective combination of, let's say, the [indiscernible] line and the business is doing very well this year compared to the prior year. Well -- and if you don't mind, there is another thing which is something we could see from the start is the on the former owner was not on considering that part of the business as strategic. So it was very much based on retail. And we've seen that several times. We've seen -- we've purchased services of frozen food business that were no longer considered as strategic for the previous owner. And then, we’ve seen a difference when it’s really the focus for the whole organization. And so we’re starting to see already on top of, obviously, as we said, the end of COVID, there is also the heat. We’re making progress in market share. So this is the kind of things when you have -- you’re fully focused behind one category, what it does.
- Unidentified Analyst: Okay. Understood. And sorry, do you think, for example, then for 2022 that the 2019 pre-COVID levels is a decent number to go by? And then they’ll carry on growing from there? Or is there a different kind of -- just on a kind of revenue level, the different ballpark which we should look towards?
Stefan Descheemaeker: No. I think the business will continue. I mean this year is on a roll and growing really well, double-digit growth. and it clearly will end up the year within the range of double-digit growth as well. I mean, the volume will be a key contributor to the rest of the business as we have alluded to that. As we said, I think earlier in one of the other questions, there is a bit of a forward impact of the fact that the acceleration of tourism that we had planned to be spread over the out years is concentrated more this year, exacerbated by [indiscernible] we probably have a bit of an exceptional acceleration of growth this year on Fortenova and -- but it will continue to grow in the outer years.
Unidentified Analyst: Okay. And finally for me, sorry, would it be reasonable to assume then, do you make any change to your I think you guided towards €2.9 billion revenue as your expectation for the year in the Q1 call. Is that directionally still where you expect to come out? Or would you make any changes there?
Samy Zekhout: We've maintained the guidance. I mean on the fact that we said effectively a high single-digit revenue, I mean, fully included. So I think that's unchanged in terms of the guidance that we gave on sales.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to Stefan Descheemaeker for any closing remarks.
Stefan Descheemaeker: Thank you, operator. So we’re adapting quickly to the dynamic and challenging marketplace. Our world has been changed by the back-to-back prices of COVID and the Ukraine war. And I’m very pleased with the determination of our people and how well we have adjusted. We have strong plans in place for the back half and we are well prepared for 2023. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.